Operator: Good day, ladies and gentlemen, and welcome to the Spectrum Pharmaceuticals, Incorporated Fourth Quarter 2015 Financial Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I’d now like to turn the conference over to our host for today, Shiv Kapoor, Vice President of Strategic Planning and Investor Relations. You may begin.
Shiv Kapoor: Thanks. Good afternoon, and thank you for joining us today for Spectrum’s fourth quarter 2015 financial results conference call. I’m Shiv Kapoor, Vice President of Strategic Planning and Investor Relations for Spectrum Pharmaceuticals. With me today are Dr. Raj Shrotriya, Chairman and CEO; Joe Turgeon, President and Chief Operating Officer; Kurt Gustafson, Chief Financial Officer; Tom Riga, Chief Commercial Officer; and other senior members of Spectrum’s management team. Here’s an outline of today’s call. First, Dr. Shrotriya will provide you with the highlights of the third quarter and discuss our overall direction and strategy. Kurt will then provide you a summary of our third quarter financial performance. Following this, Joe will review the company’s operations, and clinical update. We will then open up the call for questions. Before I pass the call to Dr. Shrotriya, I would like to remind everyone that during this call we will be making forward-looking statements regarding the future events of Spectrum Pharmaceuticals, including statements about product sales, profits and losses, the safety, efficacy, development, timeline, and clinical results of our drug products and drug candidates that involve risks and uncertainties that could cause actual results to differ materially. These risks are described in further detail in our reports filed with the Securities and Exchange Commission. These forward-looking statements represent the company’s judgment as of the date of this conference call, March 9, 2016, and the company disclaims any intent or obligation to update these forward-looking statements. However, we may choose to update them, and if we do so, we will disseminate the updates to investing public. For copies of today’s press release, historical press releases, 10-Ks, 10-Qs, 8-Ks and other SEC filings and other important information, please visit our website at www.sppirx.com. I’d now like to hand the call over to Dr. Shrotriya.
Rajesh Shrotriya: Thank you, Shiv, and thank you, everyone, for joining us this afternoon. 2015 was an important year for Spectrum. As we made meaningful progress across various aspects of our business, I’m pleased with the advancement of our key drugs, our business development activities, and our solid financial position which is a result of our strong commercial team and physical discipline. One of the most exciting about Spectrum is our portfolio of later stage drugs, which I believe have blockbuster potential. I also believe that even if one of these drugs is successful, it could transform Spectrum forever. Our highest priority remains SPI-2012, a novel long-acting GCSF, or long-acting granulocyte colony-stimulating factor, which recently entered Phase 3 trials. This drug by itself can change the face of our company, because it has an excellent clinical profile, it targets a blockbuster market, and we have intimate experience with this market. The other drug that can be transformative for the company is Poziotinib. It is a targeted oncology drug that has shown the potential to be a best-in-class a multibillion-dollar breast cancer market. A few days ago, we started an important Phase 2 trial assessing Poziotinib’s potential in breast cancer patients who have very few options left. A few words about EOquin, which was also called apaziquone a bladder cancer drug which, if approved, could serve an area of significant unmet medical need. We expect an advisory panel and FDA decision later this year in December 2016. In addition to our exciting diversified later-stage portfolio what makes Spectrum unique is that, we’re a small biopharmaceutical company with five FDA approved drugs that commercialized mainly in the United States through our own sales force. The revenue from these drugs helps us to invest in acquisition and the development of our portfolio. We’re now getting ready to launch our sixth drug EVOMELA, pending FDA approval in about two months from today. Growth trends for several of our drugs were strong this quarter. I’m pleased with our commercial efforts. We’ve started commercializing the first drug through the recently inked Eagle Pharmaceutical collaboration. We have also been actively outlicensing some of our drugs in non-core ex-U.S. countries. These activities in addition to our strong physical discipline have helped us in 2015 with a cash position of $140 million, and I’m very proud of it. In summary, our pipeline with exciting drugs that address large markets is rapidly advancing. Our commercial operations are strong and our cash position is solid. Our key drugs in development SPI-2012 and Poziotinib have shown good clinical data that target large markets and provide us with multiple shots and goal. We also have two drugs pending in FDA approval decision this year; EVOMELA in May, and EOquin in December. We look forward to updating you on our progress as the time passes. Kurt will provide you more details about our financials, and Joe will then talk more about our operations and provide you a clinical update. Now, let me hand over the call to our Chief Financial Officer, Mr. Kurt Gustafson. Kurt?
Kurt Gustafson: Thank you, Dr. Rajesh, and good afternoon, everyone, on the call today. Let me begin with some color on our product sales. Fourth quarter product sales were $34.8 million. Demand for several of our drugs were solid this quarter and resulted in strong quarter-over-quarter sales growth. FUSILEV sales were $15.1 million compared to $11.1 million in the prior quarter. Our reported FUSILEV sales do not include $6.1 million in deferred revenue, we expect to recognize in 2015. FUSILEV sales exceeded our expectations in the fourth quarter. However, we continue to expect significant declines in the future due to additional competition and pricing pressure. FOLOTYN and BELEODAQ sales were $13.3 million compared to $11.3 million, and MARQIBO sales were $2.7 million compared to $1.3 million in the prior quarter. Also, ZEVALIN sales were $3.7 million compared to $4.8 million in the prior quarter. And remember, we’re no longer booking revenues from ZEVALIN in certain ex-U.S. territories. I also want to highlight a few points regarding our business development activities. Earlier in 2015, we in-licensed our pan-HER drug Poziotinib from Hanmi Pharmaceuticals. It was great to see this product has already entered Phase 2 clinical trials. One of the decisions we made last year was to try to monetize the value of certain assets in non-core geographies. I’m pleased with the recent deals that we signed in China, Japan, and Canada for various assets. All of these deals extract value for these assets above and beyond what we could have realized on our own. In addition to the licensing activity, we also signed a co-promotion agreement with Eagle Pharmaceuticals. This agreement covers the expenses of the team working on Eagle products with the potential to earn performance-based milestones based on sales. So let me make some comments on our cash position. I’m pleased to report that we ended the year with cash balance of $140 million. This is more cash than we started the year with. We will continue to be mindful of our operating expenses and make sure we are funding only our highest priority programs. Our plan is to have our operating performance and business development activities be our primary source of cash. As we look forward to 2016, I want to provide some perspective on our operating expenses. Our quarterly SG&A expenses have stabilized around $20 million, down from approximately $25 million a year ago, and we don’t expect significant changes from the current levels going forward. As we previously stated, we continue to expect R&D expense to increase over the year, as we increase enrollment of our clinical studies. The rate of this ramp will be a function of how quickly these studies enroll. With that, let me now hand the call over to Joe, to provide an operational update.
Joseph Turgeon: Thank you, Shiv, Kurt, and Dr. Raj, and, most of all, thank you for everyone on the call today and your interest in Spectrum. I’m extremely proud of our team here at Spectrum and the goals that we accomplished in 2015. Our commercial and operations team has done a great job with – on these products resulting in strong operational performance in the fourth quarter. What I really want to focus on today is our late-stage pipeline, a pipeline that’s real and which is a rarity in the biotechnology industry. In this industry, everybody is looking for drugs that can compete in blockbuster markets, drugs that can potentially be game changers for the treatment of devastating oncology ailments. We’re fortunate to have several potential game-changers for our company in our pipeline. Let me tell you what makes me so enthusiastic. I’ll start with our highest priority in the company SPI-2012. This novel long-acting GCSF a granulocyte colony-stimulating factor targets a blockbuster market of more than $6 billion. Our Phase 2 data demonstrated that SPI-2012 was not inferior to pegfilgrastim at the mid-dose tested and superior in terms of duration of severe neutropenia at the highest dose tested. We were excited to announce the agreement on our special protocol assessment with the FDA on the Phase 3 study in December, and within six weeks we started to enroll the first patient into that registrational trial. The trial was randomized, controlled, and it will evaluate SPI-2012, as a treatment for chemotherapy-induced neutropenia with a target of 580 breast cancer patients. We are currently recruiting patients in this trial and patients are beginning to get dosed. With this as our top development priority, it’s important to remember that this registrational trial unlike many oncology trials has a relatively short registrational endpoint assessed by blood testing of absolute neutrophil counts over the course of a couple of weeks. Our plan is to rapidly enroll this important study within approximately 18 months, quickly analyze that data and then expeditiously file the BLA. I was recently present at a meeting with the investigators who will be participating in this trial, and I’m pleased to inform you that the excitement for this drug remains very high. Let’s move onto another high priority in the company, Poziotinib, our novel pan-HER inhibitor. We believe Poziotinib has the potential to be a best-in-class product. It has demonstrated strong Phase 1 clinical data in breast cancer patients with a response rate of 60% in patients who had already failed other HER-2 targeted treatments. Our Korean partner, Hanmi is studying this drug in several mid-stage studies in several tumor types, including breast cancer, non-small cell lung cancer, gastric cancer in Korea. We are focusing our efforts in breast cancer, because of the exciting data we’ve seen from this compound. Poziotinib will target a multibillion-dollar market and we’re working with the top KOL’s worldwide to develop a clinical strategy, so we can have a competitive drug in the market. In December, we submitted a Phase 2 breast cancer protocol to the FDA as part of our IND investigational new drug application. We’re happy to report the IND was accepted and just this week we started the Phase 2 study in breast cancer. The Phase 2 study is an open-label study that will enroll approximately 70 patients with HER-2 positive metastatic breast cancer who have failed, at least, two or more HER-2 directed therapies. We’ll keep you updated in the progress of this exciting drug. Next EVOMELA. After our meeting with the FDA in November, we resubmitted our IND application within days and the FDA granted us a new PDUFA date of May 9, 2016. We’ve received positive feedback from KOL’s at the American Society of Bone and Marrow Transplant Annual Meeting in February. This market is very concentrated with just over 100 accounts, representing about 90% of that business. We’re only two months away from the PDUFA date today and our commercial team is actively finalizing their launch preparations, if approved, we’ll bring this drug to market with our existing sales force. Now, let me talk about EOquin, our potent tumor-activated drug for bladder cancer. Just last month, we received communication from the FDA that they have accepted our NDA filing and provided us with a PDUFA date of December 11, 2016. The FDA also indicated that it plans to hold an advisory committee meeting regarding this NDA. Thank you for your time and interest in Spectrum. I’m going to turn the call back to Dr. Raj.
Rajesh Shrotriya: Thank you, Joe and Kurt. I now want to thank you for your interest in Spectrum. We have multiple potential catalysts in 2016 and a promising later-stage pipeline. In the next two months, the Spectrum potentially could have six drugs on the market, while we keep aggressively progressing our high priority programs. With that, let’s open the call for questions. Operator?
Operator: Thank you. [Operator Instructions] And our first question comes from Adnan Butt from RBC Capital Markets. Your line is now open.
Adnan Butt: Thanks. Let me ask a question on 2012, please. The primary endpoint is that three weeks, I believe. So is there a chance depending upon enrollment rate that the data could be unblinded this year? And would you be updating the Street when the enrollment completes?
Rajesh Shrotriya: So, Adnan, first of all, thank you for your question – very important question for our most important product. So the protocol, as you know, was approved by these – by the FDA under a special protocol assessment. And all those study is a full four cycles – that multiple cycles. But the first cycle, which is a four-week cycle in which we’ll be assessing the activity of SPI-2012 in a randomized open-label fashion. So in other words, the patients will be randomized to receive either the comparative drug pegfilgrastim or SPI-2012. And the blood assessments will be done about 12 times during the cycle after the TC regimen finishes, they will start on the GCSF either our drug or the competitive drug, and the assessments for efficacy will be duration of Severe Neutropenia, DSN during this first cycle only. And let me repeat this study is not double-blinded, it is randomized, but open-label study.
Adnan Butt: Okay, Dr. Raj. So then depending upon enrollment, how quickly enrollment proceeds – could the data be available – will you enroll – will you update the Street on when enrollment completes?
Rajesh Shrotriya: So I think that decision we will make with the help of our consultants and even with the FDA, keep in mind this is a very important drug for us, very important study, and we would not want to do anything to jeopardize the approval ability of the study. So, certainly, this is a randomized open-label trial. So you’re right, we would – is it possible that we will know the results on an ongoing basis. However, whether we make this data public or not will depend on the FDAs and DSMs decision. And we will keep you posted as we progress. Right now, our goal is to have 100 to 150 sites in U.S. and Canada participate in the trial. This will be mostly an American study in 580 patients. And our goal is to enroll these patients as quickly as possible, but in 18 months or less. We plan to have this drug on the market in 2018.
Adnan Butt: Okay. So just to clarify, the decision as to whether data can be analyzed and presented after one cycle or four cycles that still has to be made?
Rajesh Shrotriya: Yes.
Adnan Butt: Okay. And then if I can just get a quick question on Poziotinib. Could you lay out how the profile is differentiated and is any prophylactic medication being used in the Phase 2 that’s announced?
Rajesh Shrotriya: So this class of compounds typically have side effects related to diarrhea, rash, leukocytes, those are the typical three side effects that you see with pan-HER inhibitors. We have seen a little bit less incidence of the diarrhea with this drug. However, the – so far the drug – the number of patients studied is rather small. This is why FDA requires to do large trials to really assess the incidence of the disease. We are planning to treat patients with loperamide as prophylactic for diarrhea. Let me tell you our partner Hanmi has treated now lot of patients. I don’t have the exact count. The number of patients far exceeds 100, I would think in different tumor types. There were six tumor types in the study, besides what Joe just mentioned, the gastric cancer, lung cancer, head and neck cancer, and breast cancer. We decided to pick breast cancer, because, number one, this is where we saw the most activity and this is the biggest market in the United States. And there will be a focus that the Spectrum is going to focus primarily on the development of this drug in breast cancer. However, our partner is rapidly enrolling patients. In fact, they’re far ahead of us. They’re in late-stage of Phase 2 trials in Korea, so we’re quite excited with what they’re doing. We believe that both SPI-2012 and Poziotinib could be transformative for the company even if one of them makes it. And we’re hoping that both of these drugs are likely to make it based on the clinical data that we have at this time.
Adnan Butt: Okay, thanks. So just one clarification. Would you know if your partner Hanmi used prophylactic medicine in its studies?
Rajesh Shrotriya: They did not. To best of my knowledge in Phase 2 trials, they did not use the prophylactic. In fact, the San Antonio during the Breast Cancer Symposium, we had a meeting of about 12 experts in the United States and several experts from Korea. And at that time we did have a lot of discussion on prophylactic use of this drug. The American experts said that we should use prophylactic use of these drugs just because these class of drugs are known to cause diarrhea. But in Korea, they have not used it.
Adnan Butt: Thanks. Very helpful. I’ll get back in line.
Operator: Thank you. And our next question comes from Ed White from FBR & Company. Your line is now open. And our next question comes from Swayampakula Ramakanth from HC Wainwright. Your line is now open.
Swayampakula Ramakanth: Good afternoon, gentlemen. Thanks for taking my questions. So couple of questions on pipeline and couple on the revenue lines. On Poziotinib, which seems to be a very exciting drug, given its mechanism of action. What’s the market opportunity there? What are people using in this recurrent metastatic breast cancer indication? And how should we think about your regulatory and commercial strategy for this?
Rajesh Shrotriya: So let me repeat, if I understand your question correctly. You’re saying what is the market opportunity for a drug like Poziotinib?
Swayampakula Ramakanth: Correct.
Rajesh Shrotriya: Because the question – let me tell you that breast cancer is about 2,000 women are being diagnosed every month with this drug – with – the 20,000 women are being diagnosed literally every month with this terrible disease called breast cancer, 240,000 a year. And 40,000 of them die each year in spite of all the advances we’re making. In this huge market when you look at it, unfortunately, it’s a huge market from patients point of view. I’m a physician. I always think of patients having a terrible disease like breast cancer. So here it is HER receptor sales are $7.8 billion, as reported just last year, just one such drug. And there are many drugs in development at this stage. It’s a highly competitive field. We believe we have got perhaps a best-in-class pan-HER inhibitor based on the data we have seen so far. But time will tell. We’re right now in second Phase 2 trials. We plan to do a 70-patient study. We have planned to quickly enroll this patient and we’ll have more to say about as the time goes.
Swayampakula Ramakanth: Okay. And then on the EOquin, certainly, FDA has provided you with a PUDFA date of December 11, 2016. And will there be any possibility of interim data by that date? And also what’s the possibility that FDA could decide to wait for the completion of this study before giving you a final decision?
Rajesh Shrotriya: So if I understand your question, it’s about EOquin, apaziquone, a bladder cancer drug, whether the FDA is likely to wait for the current trial – ongoing trial to be completed. That’s a question that I can’t really answer as you know. We have submitted data based on three things. Number one, we know that our drug is active based on not only the market lesion is very impressive that you leave a tumor behind, and the only thing you give to these patients is give a single dose of EOquin and 69% patients had complete responses. And then the Phase 3 trials that we did 611/612, we saw the drug was extremely safe. And for the technical reasons we have done reanalysis. We have submitted to the FDA. As you know that we – when we studied, each study was not positive, p-value was not less than 0.05. However, when we combine the two trials then the study data was highly significantly positive. In this unmet medical need, no drug has been approved in the space. And when we talk to experts, we believe that the – that this unmet medical need, in fact, the only other drug that is used in Europe, for example, is Mitomycin and in some of the centers.. And Mitomycin is, as you know, causes sloughing of the two –of the healthy tissues. So urologists are very afraid to give a drug like Mitomycin, which is verytoxic. As compared to that in our experience of treating now two – conducting two large studies with over 600 patients each, we found that our drug is relatively safe and we feel good about it.
Swayampakula Ramakanth: Okay. A couple of questions on the revenue line. FUSILEV that everybody expects to go around and just keeps going, which is good. What’s driving the sales and how much of the current sales number is pricing versus volume? And how many generic entrants are there who are competing against you? And what are you seeing in terms of trends just in the current quarter? So that we can have an idea of how things are going?
Rajesh Shrotriya: So I know you’re interested in FUSILEV question. We have actually moved on. We don’t talk much about FUSILEV. FUSILEV is a drug that has given significant contribution to our sales revenue. We know there is generic competition from Sandoz, and now this is the second entrant. So it’s very hard for us to predict at this time how these sales are going to be in the future. But we are expecting the sales of FUSILEV will continue to decline.
Swayampakula Ramakanth: Okay. Thank you.
Operator: Thank you. And our next question comes from Ed White from FBR and Company. Your line is now open.
Edward White: Hi, guys, can you hear me now?
Rajesh Shrotriya: Yes.
Kurt Gustafson: Yes.
Edward White: Okay. I’m not sure what happened before. Thanks for taking my call. So just a couple of questions. First, on the non-GAAP adjustments to product sales of $15 million, Kurt can you just explain what that is?
Kurt Gustafson: Yes, sure. So that’s in the licensing revenue line. So that’s the revenue we have recognized from selling off our Japanese entity.
Edward White: Okay.
Kurt Gustafson: It’s a one-time sale of that entity.
Edward White: Okay, great. Thank you. And then just regarding the Eagle co-promotion deal, it sounds like you just started up, so I assume there’s no revenues in the first quarter coming from that co-promotion deal. Should we start to see revenues being generated in the second quarter of this year and ramp up through the end of the year?
Rajesh Shrotriya: Yes, Kurt?
Kurt Gustafson: Yes, so we actually will recognize revenue in the first quarter. So the way that will – the way that this will happen is the sales force that’s promoting this product. We get reimbursed on a quarterly basis for their time. And so you’ll see that show up in the licensing revenue line on a quarterly basis. And it’s about $8 million a year, so a couple million a quarter.
Edward White: Okay, great. Thank you. And then the last question, just a big picture question and maybe Dr. Raj or Joe can answer this one. But I just wondering if you had any initial thoughts on the CMS demonstration project that’s looking at a new Medicare Part D payment model, where they’re looking to change perhaps change the ASP-based payments. I was just wondering if you see any potential impact here on SPI-2012 sales potential, as we know, you’re going to have – you should have your own code, and so you’re not really competing against Neulasta in the biosimilars or the generics as far as pricing goes? So I’m just curious if you have a take on that?
Rajesh Shrotriya: Well, Ed, let me have this question be answered by Joe and Tom.
Joseph Turgeon: Yes, Ed, you’re exactly right. I’ll start and Tom, we were just talking about this morning just a couple of things and I’ll let Tom go into detail. You are spot on, Ed, it’s number one, we are a novel entity. We are not a biosimilar. Sometimes people are confused about that. So the way legislation is we will be standing alone, we are not tethered to the innovative product, as you well know. Now changing – the only comment I’ll make it and I’ll let Tom comment in more detail. Remember, the change in the ASP you’re talking about the potential that is only on Medicare patients only, and it’s not on the private pay which is usually more than 50% of those patients. So that’s important when people do their modeling you understand that. But Tom, why don’t you – we talked about this morning, why don’t you give your explanations, you’re the commercial, guy..
Thomas Riga: I think if I started and just peeled the onion back, I think, one, we believe that cancer care needs to be held in the hands of the physician, because I think that’s where the right choice is between patient and provider. And I think the legislation ultimately is reducing the plus portion of the Part B model with an administrative fee that goes on it. And it’s ultimately a proposal that have a – it will have a 60-day comment period, and then we’ll have the opportunity to see what that ultimately means and the impact it plays on the market. I think as that legislation relates to us, I think it furthers, at least, my confidence in the power of differentiation and having a unique entity with something like SPI-2012, because we are still a long way away from that product becoming a reality through a commercial lens in the late 2018 timeframe. So we’ll be able to sit back, assess the implications of any legislation whether it would be this or others that impact the commercial viability of this product and any other and then make the necessary decisions. So that physicians have the options to appropriately treat their patients with their medications.
Joseph Turgeon: And that’s exactly right. The only thing I’ll add is anyway you slice this at the end of the day becomes a game-changing event for us, and we’re in a position to compete.
Edward White: Okay, great. Thanks a lot for taking my questions.
Operator: Thank you. And our next question comes from Chris Howerton from Jefferies. Your line is now open.
Chris Howerton: Great. Thank you. I think most of the questions were answered and Kurt kind of touched on this a little bit. But do you plan on updating throughout the year in terms of financial guidance in terms of expenditure, year-end cash levels, or anything like that? I certainly recognize that some of the product sales may be somewhat unpredictable. So I assume that that is somewhat of a hesitation there?
Rajesh Shrotriya: Kurt?
Kurt Gustafson: Yes, I think we’ll try to provide as much color as we can. We try to provide some color here on the trends that we’re seeing in the business with regards to the SG&A line staying rather constant and the growth that we expect in the R&D line. And so we’ll try to provide as many updates to you as we can throughout the year.
Chris Howerton: Yes, okay. And so, I mean, but fair to say that given that you have significant amount of clinical activities that will be going on throughout the year, it’s unlikely you will be a cash positive year?
Kurt Gustafson: That’s the only comments that we’re going to make right now are really about our operating expenses and where we see those, we’re not prepared to make any comments today around cash or cash balance.
Rajesh Shrotriya: I’ll just say one more comment here that keep in mind that we have some assets that we’re focused on developing them in the U.S., and we are looking to find a partner in Europe. We haven’t even started the process yet, but we have been thinking that for drugs like EOquin, apaziquone, SPI-2012, which have mature drugs in later stages. At this time, we could entertain a partnership with somebody in Europe or elsewhere. So, certainly, as you have seen that we are very active in BD space. We acquired company like Allos and others, and we have been acquiring drugs and we have made partnerships before and we are very open to make some additional partnerships. You just saw that we brought in about $26 million last year by doing some strategic business development deals. And we hope that we will be able to do this year and next year and so on and so forth.
Chris Howerton: Sure. All right. I certainly appreciate that and thank you for answering the question.
Operator: Thank you. And that does conclude our question-and-answer session for today. I’d now like to turn the call back over to Dr. Rajesh Shrotriya for any further remarks.
Rajesh Shrotriya: So, once again, I would like to thank everyone on the call as we enter 2016. As you can see, we remain very focused and dedicated to patients in need of new treatment options. We look forward to updating you in the near future on the progress that continues at Spectrum. We’re quite excited these are the exciting times of the Spectrum, stay tuned.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This concludes today’s program. You may all disconnect. Everyone have a great day.